Juan Gaitan: Good afternoon, everyone. My name is Juan Gaitan, Cellnex Director of Investor Relations and I would like to thank you all for joining us today for our Q1 2024 Results Conference Call. Apologies for the delay but we’ve had some technical difficulties. Today I’m joined by our CEO, Marco Patuano; and our CFO, Raimon Trias, who will discuss the main highlights of the period and then we will open the line for your questions. [Operator Instructions] So without further ado over to you Marco.
Marco Patuano: Thank you. Thank you, Juan. Good afternoon, everyone. Thank you so much for your time today. Sorry again for the delay, the platform is a little bit bizarre today and we have some problem in hearing the line. So I’ll start commenting on our business performance. We are once again providing solid results this quarter, proving the resilience of our business model and aligning all the levels of our organization toward our public commitments. So this quarter has been marked by an excellent commercial performance and a consistent operational execution with PoPs increasing close to 11% compared to last year, around 7% on PoP equivalent. Just as a reminder we are providing you both physical PoP and equivalent PoP. Organic revenues excluding from our numbers mainly the impact from change of perimeter resulting from the remedy process in France, well, organic revenues increased 7.5%. Organic EBITDA after lease increased 11.1% and our recurring level free cash flow increased by 14.4%. Finally, our free cash flow reached €103 million benefiting from €152 million received this quarter in the context of the second tranche of the French remedies. So we are on track to meet all our short- and medium-term targets, we have recently shared with you at the Capital Markets Day. Moving to the financial strategy and capital allocation, just a quick reminder of our priorities set out at our recent Capital Markets Day and which we reiterate. A long-term level target of between 5 times and 6 times net debt EBITDA, which we believe we can achieve by 2025. Having obtained our investment grade rating by S&P much earlier than originally planned, we confirm an unconditional commitment to maintain this credit rating level both by S&P and Fitch. From the leveraging perspective we’re making remarkable progress thanks to the disposal of the sites in France, our agreement in the Nordics and our recently announced exit from Ireland. This closest process is on track, we presented all the documents, the relevant documents to the antitrust and leverage will be reduced by €971 million when completed and paid. Despite having already reached the full investment grade status we continue to assess strategic options for our portfolio of assets and we can confirm that the Austrian sale process remains on track with non-binding offers expected very soon. Please note that an early shareholder distribution in the form for example of a share buyback could be considered following the disposal subject to our leverage target and our rating commitment. Finally, as you have seen in our investor materials, we have started to report providing a more granular level of detail in terms of organic growth, business line, geography and uses of CapEx, and we hope this will allow you to better understand the performance of our key value drivers. Having said this, I will now hand over to our CFO, Raimon, floor is yours.
Raimon Trias: Thank you, Marco. Good afternoon, everyone. We’ll now provide a few additional remarks on the period and the financial strategy. This has been another quarter of excellent commercial performance with organic PoPs growing at close to 11% compared to the same period last year. Remember that we are starting to report physical PoPs which in our view provides a better reflection of the addressable market and our commercial efforts. This growth is due to the progress made on our Built to Suit programs in France, Italy and Poland and collocation PoPs generated mainly in Italy and Portugal, with the rest of our markets showing a steady performance. PoP growth linked to new collocations has reached a strong 7.5% this period, while Built to Suit has grown 3%. Revenues increased 7% compared to the same period last year. Our adjusted EBITDA also grew 7%, our EBITDA after lease is 9% and our recurrent level free cash flow 14%. When excluding the impact from the change of perimeter that Marco mentioned, our numbers, our revenues increased 7.5%, our EBITDA 9% and our EBITDA after lease is 11%. If we now move to Slides 8 and 9, we are providing here as anticipated at our Capital Markets Day, our organic revenues breached for the period, as well as individual performance of our different business lines. So, as you can see, if we take our contribution to revenues from inflation, collocation and Built to Suit, our organic revenues grow 7.5% compared to the same period last year. And going into the specific performance of our business, the tower segment grows organically 6.6%, fiber connectivity and housing services is growing 24%, thus small cells and RAN grows 21% and broadcast increased 2%. Just a quick clarification on the average revenue per tower, which takes tower revenues expressed on an annual basis as per the last 12 months ended the last days of the reporting period. Our free cash flow has reached €103 million, around €240 million more than the same period last year, mainly due to the €152 million that we have received in the context of the remedies process in France, as well supported by the improved recurrent level of free cash flow to-date. Free cash flow is expected to reach between €250 million and €350 million this year, compared to the €150 million generated in 2023. And one factor that determines our ability to generate this metric is CapEx, so we believe it is important to continue giving your visibility on our different CapEx requirements. Maintenance CapEx is expected to remain below the 4% on total revenues, excluding the pass-throughs and expansion CapEx should stay below the €500 million in the year 2024. Our expected Built to Suit CapEx is around €1.3 billion euros in the year 2024, not considering the remedies. Going forward, our free cash flow generation will further accelerate as we are near the end of our Built to Suit programs and this will underpin our rapid deleveraging and will give us additional flexibility to improve shareholder returns, as we mentioned in the Capital Markets Day. Moving to Slide 10, we are illustrating our commitment with our previous lease efficiency plan, whilst underpinning the message we conveyed at the recent Capital Markets Day in terms of the importance for us to properly manage our main cost item. So, our program remains on track, and we continue to actively pursue efficiency measures in order to ensure a limited impact on our cash flow from rent increases and a large perimeter. Finally, let’s take a look at our debt maturities profile on Slide 12. As you can see, there are no maturities left in 2024, as they were repaid in January. Potential additional disposals may be partially used to repay variable debt in 2025, which today has a high associated cost, as these lines are linked to Euribor, and we also might consider new debt issuance at fixed cost in the short-term with the same objective. It seems that in the current environment, interest rates are likely to remain higher for longer, but we have a robust and well-designed capital structure which prevents us from assuming higher interest expenses. As you recall, 75% of our debt is fixed. Short-term maturities are already being managed, so our average cost of will only marginally increase in the next few years. With this, we remain now at your disposal to answer any questions. Thanks very much.
A - Juan Gaitan: Thank you so much, Raimon. First question comes from Akhil Dattani from JPMorgan. Please go ahead. You can hear us?
Akhil Dattani: Sorry, can you hear me?
Juan Gaitan: We can, please go ahead.
Akhil Dattani: Great. Thank you. Yeah. So, I have a couple of questions, please. The first one is just a big picture question around the share price development, and I guess, the question is that, if you look year-to-date, it looks like interest rates are still very much dominating the way your share price is trading [Technical Difficulty]. Just wondered how you think about that and what sort of levers you have to try and couple that issue. I guess one of the topics we’ll get, obviously, whole issue between public and private market valuations. You’ve obviously successfully selling assets like Ireland, and you’ve talked about Austria as another lever. I wondered if you think about more broadly, how do you think about what sort of other assets you may or may not be willing to sell? The market you mentioned, [Technical Difficulty], but I guess the broader question is [Technical Difficulty] interest rate sensitivity? And then the second question is just on the [Technical Difficulty] obviously, [Technical Difficulty]
Juan Gaitan: Sorry, Akhil, we are -- sorry, Akhil, this is Juan. I’m terribly sorry. I am -- we are really struggling to hear you. The -- we are -- I mean we are still having the same technical issues as at the beginning of the session. We don’t really know how to continue the session, because we cannot really hear you. I mean, the connection is just horrible because of the provider. Would it be possible for you to send me an email? We will try. I mean, we don’t want to cancel the session. So, I don’t know if you guys can send me your questions, and I will try to look at your questions, and we will try to answer it, if that’s okay. Just to try to give continuity to this Q&A session. Can you hear us, Akhil? Akhil, can you hear me? Andrew? Can you hear me, Andrew?
Andrew Lee: Hey. Can you hear me?
Juan Gaitan: We are having the same question -- the same issue and connectivity. We don’t really know if you can hear us well. I hope that is the case, but in your case, when we receive your questions, it’s just we really struggle to hear you.
Marco Patuano: We hear half a word every two.
Juan Gaitan: Yeah. The line is super broken. We don’t really know what’s going on with the provider, but we are trying and it’s really difficult to understand your questions.
Andrew Lee: Can you hear me?
Juan Gaitan: It’s not you, Andrew. It’s not you. I mean, we have been doing tests.
Andrew Lee: Okay.
Juan Gaitan: And the line keeps breaking for everyone that is trying to participate.
Andrew Lee: I will mail you questions.
Juan Gaitan: Yeah. If you don’t mind, if you can send me your…
Andrew Lee: [Technical Difficulty]
Juan Gaitan: Yeah. If you can send me question, we will try to give continuity to this session in written and the same to you applies, Akhil. Andrew, I have just received your question, so I will read your question, okay? And, Akhil, if you are still on the line, if you can please send me your question.
Marco Patuano: Say who are the next, so…
Juan Gaitan: Yeah. Everyone and we will try to do this in a different way, but we are trying to be respectful of your time, so we will try our best, okay? So, Andrew, based on your email, Marco, question for you. When is the earliest you could start the buyback if you sell Austria 2025 or before and also if you can give us a sense as to the number of bidders for this Austrian process?
Marco Patuano: Good. To be very honest with you, I think that the answer, if we can do before 2025, is we’re going to make a rest with the rating agencies and we will try to give full visibility to the rating agencies on the status of the process of the closing of the Irish antitrust procedure, and based on this, as soon as it will be made available, we will start using the cash that should be in excess of our strict needs for keeping under control. In terms of bidders, so please allow me to keep this a little bit confidential, but there is good interest both from industrial players and from financial players.
Juan Gaitan: Thank you, Marco. I’m coming back to Akhil’s question, which I have received. So, Akhil, the share price of our companies in the developed world, they have been down 10%, 20%. How do you think about what you can do to decouple this interest rate sensitivity? Can you accelerate asset sales, and if so, what assets can you sell and why, and what else can you do beyond that?
Marco Patuano: Well, everybody knows that our share price is so linked to the interest rate. There is a big question, by the way. We are making regression analysis if we are linked -- more linked to the U.S. dollar bond or to the Bund or to some Euro-denominated interest. It’s unclear, because basically it’s unproven. Normally, it wouldn’t be a problem because Europe follows Euro rates follow U.S. dollar rates, but it’s unproven, and if in any moment there is decoupling between the Euro rates and the Fed rates, we are honestly very curious to see if being all our revenues in Euro and being most of our almost everything Euro-denominated, it’s important to understand. Then, what we can do? Well, we are still fairly sensitive to leverage, so we have to continue. We have to perform. We have to make the process straight to your questions. Yes, we are assessing our portfolio. As we said at the Capital Market Day, making a portfolio assessment is not a one-upon-a-time event, so we are doing it periodically. There are business lines that we are asking ourselves if they can contribute or if they are giving us the return on the invested capital long-term that we expect and this is something that we are analyzing in this moment. You know me well, Akhil, so I prefer to do things well one at a time, so in this moment, we are making the process for Austria. It’s not a mystery that we are looking towards the evolution of Poland. The evolution of Poland is we have a potential opportunity to consolidate the active market in Poland. If this would be the case, it would be appropriate for us to welcome a co-investor who can work with us. This can turn into some capital repatriation, so there is -- there are many projects. So, we are working, our strategy department and our finance department are working together on this.
Juan Gaitan: Thank you, Marco. And Akhil’s second question was around the LandCo. If you can give us an update on our progress and how you think about what we will be spending this year and mid-term on land acquisition?
Marco Patuano: The progress is fine. So we are creating the LandCo. What we are thinking, by the way, we confirmed that the LandCo will be a Spanish entity, because our tax due diligence was okay, so Spain is fairly efficient for placing the LandCo. We are trying to start to evaluate if it could be appropriate to transfer existing portfolios into the newly created LandCo or not. This depends very much on the tax efficiency of this process. So, in terms of how much we are willing to spend, I leave it to Raimon.
Raimon Trias: Yeah. For this year, we are looking more or less, in terms of land acquisition, around €115 million, €120 million euros. As you know, we also have the efficiency CapEx that more or less will be around €60 million.
Marco Patuano: So, this is the very base case. As you know, I never made a mystery that I would like to increase this number, but when you start increasing your volumes, it’s important also to have the machine working appropriately. So, I would be very happy if we can increase this number by 40%, 5%0, but I think it’s not realistic that you should expect more than this.
Juan Gaitan: Thank you, Marco. I have one follow-up from Andrew Lee on the Irish deal. When do you expect the Irish antitrust to complete the process and the cash to come in?
Marco Patuano: It’s very much depending, there are a couple of factors. One depends if the process will go to Phase 2 or if it is going to be closed to Phase 1. So, let’s be pessimistic. Let’s make the worst case scenario. The worst case scenario is it goes to Phase 2, and if it goes to Phase 2, it should around year-end, maximum beginning of the next year. So, a process should last -- a Phase 2 process should last sort of nine months, we filed in March. So, it should drive us to the year-end, more or less. So, this is the worst case of a Phase 2.
Juan Gaitan: Perfect. We have another question from Maurice Patrick from Barclays.
Marco Patuano: Yes.
Juan Gaitan: Are we seeing any sign of Portugal organic growth slowing, because today we have a new entrant, which is DG, and I’m wondering how long we should be expecting this outsized growth maybe to continue?
Marco Patuano: Well, in this moment, we have still some part of the request to be delivered. So, we have another portion of this organic growth to come, but we assume that it’s mostly a 2024 portfolio and then it will tend to normalize in terms of growth, because the program of DG possibly will be completed in Portugal.
Juan Gaitan: Thank you. I have three questions from Jakob, which I believe, Jakob, most of them have been covered, because you are asking about Austria, Poland has already been covered by Marco, and also our land acquisition strategy. But maybe incrementally, if in terms of valuation of the Austrian process, we might be expecting a lower price because of fewer natural buyers of this asset. So, valuation expectations are wrong.
Marco Patuano: You have to consider that in Ireland, we got, honestly, a very good price, because the buyer had also industrial synergies, which, by the way, drove us to the antitrust filing that we’re making. So, we don’t expect, given the fact that the Austrian market is much more consolidated than the Irish market, which was more fragmented, we don’t expect a significant possibility that existing tower operators can successfully bid and pass-through an antitrust process in Austria. It would be quite complex. And these drive our base case to a more prudent valuation and then let’s see. So, we will see.
Juan Gaitan: Perfect. Also, we have questions from Luigi Minerva from HSBC. He’s asking about the PoP execution in Italy that we are showing great progress, but is that sustainable? What can we expect for PoPs in the coming -- going forward in the coming quarters? And also, in Spain, what is the impact from the Mass Mobile Orange convenience?
Marco Patuano: Yes.
Juan Gaitan: And any potential new business coming from this year in Spain?
Marco Patuano: Okay. Thank you, Luigi. Let’s start from Italy. Well, the Italian delivery is mostly linked to a RAN sharing program that one of our core clients, WindTre, has put in place with another M&O. this is -- again, this is a 2024 project. It’s fairly material in numbers, as you saw, but it’s mostly a 2024 project and then it will go to a network densification, as you can imagine. Spain, well, the Spanish case is super interesting. So, the Mass Orange creation is raising many questions from the network standpoint, because there are at least two factors that have to be considered. Factor number one is that the network quality, so please don’t take as being offensive with anyone, the network quality of Mass Mobile was not at the standard of the network quality of Orange. But on the other side, the network quality of Orange is not capable to receive the entire customer base of Mass Mobile. So, what is clear is that Mass Orange should make a fairly, I don’t want to say complicated, but fairly big project of the network redesign. In doing this, we are talking with the Mass Orange CTO in order to understand how we can support them in making efficiency in the periphery of the network, where the network can be optimized. Possibly, there are sites and antenna both from Mass Mobile and Orange, and it’s not necessary to have both, but to densify the network where the density of the clients is higher. In this, there is the big question mark. You know that Orange had a RAN sharing with Vodafone in the so-called jumping network. The territory of Spain was divided in two areas. Let’s make a proxy. The coastline was covered by Orange with the exception of Catalonia, and Catalonia and the inner land was covered by Vodafone with their network. So, also, Vodafone passed through a change of control or better, it’s passing through a change of control, and so the future evolution of this joint venture is in a delicate moment because of all the changes at the proprietary level. Once again, we have a very strong MSA. Everybody knows, our clients know, we know, but what we want to do as we are doing in other countries is not to defend the revenues by the strength of the contract, but we want to defend the revenues because our clients are happy. DG, it’s unclear what DG is going to do. What is almost sure is that there are two points that are almost sure. One is that they are not going to make a nationwide network, so the vast majority of their coverage will be through a RAN sharing, and the second is that in order to keep the frequencies, they have to use the frequencies, otherwise they lose the frequencies. So, this means that they have to do -- they will do some RAN sharing and some new emplacement. As you know, we have a very easy channel of conversation with DG, so we are discussing with them. As far as, so the only thing I can tell you is that, the final decision has not been made by our client, but we are very happy to support them in making it work at convenient conditions for everybody.
Juan Gaitan: Perfect. We also -- Luigi is also asking about efficiencies. If beyond what we have already shared with the market, if maybe we are thinking about additional efficiencies around operations, if we have quantified any potential scope and in which countries we could operate better than what we already have?
Marco Patuano: Yes. We are working in several areas, just to mention some. Maintenance is an area of work. IT is very important, because some processes can be significantly improved by automatization, which not only drives down the personal cost, but makes the entire process leaner. So, we are starting from the big countries, as normal. In this moment, the four countries that we have under scrutiny are, in this order, France, England, Italy, Spain. So, those are the countries where we started concrete analysis in order to understand if we can do better. It’s important because those countries have many points of similarity. So, a solution that can work in Italy possibly works also in Spain and in France, so we can replicate the best solution. Are we going to quan -- are we quanti -- have we quantified? Yes, it’s something that Raimon, our CFO, is in the process, so we are working. For 2024, numbers are relatively small, as you can easily imagine, but it can be an upside on our plan going forward.
Juan Gaitan: Perfect. Last question from Luigi, coming back to Austria and the potential proceeds. How are we thinking the trade-offs between share buyback or special dividend or the leveraging?
Marco Patuano: Well, if it is true that higher for longer is the rule of the game, it seems that there is very little that can be share buyback in this moment in terms of value creation. So, if the share price stays, quote-unquote, depressed, because I think that from the industrial perspective, you see that we are performing very good, we are accelerating on every front, we are making honesty. I’m very happy of the response of the entire company. So, the share price is basically dominated by this financial component. So, I would say we have not to forget that we have to deliver, because our sensitivity to interest rates remains high, but in this moment, I would say that, market conditions seem to give more likelihood to share buyback than other use of resources.
Juan Gaitan: Perfect. We have one question from Roshan Ranjit from Deutsche Bank. You may recall that at our Capital Market Day, we were including the deferred payment associated with Omtel, our first transaction in Portugal, as additional debt in order to make that more comparable with the methodology used by credit agencies. Is there potential that we also have to include the Nordic call option?
Marco Patuano: No.
Juan Gaitan: Very clear.
Marco Patuano: Sorry, I cannot add anything. The answer is short, but it’s this.
Juan Gaitan: Very clear. We have two questions from Georgios Ierodiaconou from Citi. Other options beyond Austria that you may be considering or interest expressed by other parties, or will this be likely the last major disposal at this point? So, if beyond Austria, we’re considering more disposals?
Marco Patuano: As I told you before, I can’t call it a disposal, but we are actively working on Poland, and I don’t know what you think, but Poland is big. So, it’s a big operation with a huge perspective forward looking, both in terms of passive infrastructure, because Poland should be more densified, not only densified. There is a quite significant lack of coverage when you go out of the major cities and there is the RAN component, both in terms of existing relation with Plug and the possibility of having a partnership also with Play. So, this is a big project. It is something that we’re looking at. Is there interest? Yes, there is interest. So, we are working with some counterpart who could be focused on this. We are looking to other possibilities, but since it’s still on our desk, I would prefer not to enter into the details. We are looking to, yeah, I think we demonstrated fairly consistently that we are open-minded in rotating our invested capital every time the industrial strategy meets with the financial strategy. So, Georgios, yes, we are working more on other projects, but please allow us to keep in the kitchen.
Juan Gaitan: Perfect. We have two questions from Usman Ghazi from Berenberg. Would you do a buyback before getting to your latest target, 5, 6 types of EBITDA? And the second one is, can you give us some insights into the return on capital employment benchmarking by country that you mentioned, if that has started internally?
Marco Patuano: The answer to your first question is, my commitment is to stay investment grade. If I have a great opportunity to buy back shares and to stay investment grade, not staying in 5 to 6, but staying investment grade, believe me, I’ll take it. Because at this price, so we will -- just today we announced that also Board members are going to buy shares. So, at this price, we should buy shares. We should buy more shares. So, my strong commitment and the commitment of the Board and the entire management team is, we -- it has been so painful to go back to investment grade, we want to stay investment grade. But if going to 5 to 6 takes me six months more, okay, it takes me six months more, but we will take the opportunities that we will see on the floor. Sorry, can you repeat the second question?
Juan Gaitan: The exercise, our internal exercise on return on capital employed by country, how that is?
Marco Patuano: Yes. We are -- it’s a very interesting exercise, because what is very clear is that countries where our deployment project is more mature, have a very nice return on investor capital. Let me say Italy, Spain, the Netherlands, so the countries with good markets, where the tendency ratio is already, we already had time to push the tendency ratio up. It’s evident that the return on invested capital is already well above our weighted average cost of capital. There are countries that are still a work in progress. The world champion of the work in progress in our case is France. We are still working a lot on BTS, we’re working on fiber. Nobody’s asking us why the fiber is increasing 25%. It’s increased 25% because finally the cap -- the invested capital starts to turn into revenues. So this is very good. But France asks for more time. So, it’s so evident that the more the project is mature, the more we are doing good in terms of return on invested capital. There is a good correlation with the health of the market, so that the healthier markets with higher ARPU support better the possibility for the tower operators to have good returns.
Juan Gaitan: Thank you. We have received three questions from Ondrej Cabejsek from UBS. I believe Ondrej that most of them have been covered. If not, please correct me and send me an email. But I think that that is a new one within your questions, which is Iliad is now a shareholder in Tele2 and Iliad likes to sell towers. Is this an opportunity to consolidate Sweden?
Marco Patuano: Well, we never -- we didn’t start talking. So today when we talk with Iliad, we’re talking about other countries, existing countries. In particular, France, Poland are the main argument we are -- of our conversation. It’s a matter of fact that Iliad is fairly open-minded vis-à-vis passive infrastructure. But please don’t forget that the market structure in Sweden is terribly complicated because there are several joint ventures that have been created in the time between different operators and unwinding the joint venture is always a fairly complicated exercise. So the short answer is, did you already start talking? No, we didn’t. Do you think that Iliad can be open-minded? Normally they are. Do you think that Sweden is going to be an easy exercise to unwind all the joint venture? No, I don’t think so. So we will keep monitoring, but I don’t see something happening very much short-term. So short-term, I think there is not so many chances to consolidate.
Juan Gaitan: And on other potential consolidation opportunities, Fernando Abril-Martorell from Alantra is asking, considering how fragmented is our market is in Spain, what role we would like to play?
Marco Patuano: We will consolidate Spain. It’s a matter of fact. I don’t think that the question is if, the question is when and how. Obviously, American Tower invested a very significant amount in Spain in their acquisition of the tower from Telefonica. So my base case is that American Tower will be a long-term player. And we are here since ever and so this is our home market, and we know it fairly well. But I think that you are right. I think that the Spanish Tower market is four tower operators, and in a while, there will be more tower operators than operators, which means that this is something that possibly is going to happen. Then I ask myself if this will be a game of combination or a game of someone exiting from the market. I don’t exclude that it could be a combination game.
Juan Gaitan: We have three questions from Ottavio Adorisio from Bernstein. First one is, the majority of the growth CapEx is driven by tower adaptation CapEx, as Cellnex needs to reinforce steel and upgrade the connection with the grid. For the tower spot in recent years, how many have been upgraded to support multi-tenancy, and how many still need to be upgraded, and by which time frame?
Marco Patuano: Ottavio we will say that, well, we started making the upgrade a sort of, let’s say, mostly a couple of years ago. If you go back to three years ago, possibly when it started, the numbers were relatively modest. And then it started in 20 -- three years ago, which means 2021, 2022 and 2023 has been an important year. The count is fairly simple, because using a big average number, let’s say that reinforcing a tower can cost more or less between €25,000 and €30,000. So, 1,000 towers, it’s €25 million. So, it means that in a busy year, we make 10,000 towers. Now, it’s not true that all the towers need to be reinforced. The newly built were already by design a multi-tenant in their configuration. Well, it’s true that some of the new equipments are a bit heavier, a bit bigger, but it’s -- let’s say that we consider that something between half and two-thirds of the tower portfolio for sure will require reinforcement in case of multi-tenancy and the rest, it will be very much case-by-case. So, to make a long story short, what do I expect? I expect that this number will decrease. It will not disappear. It will plateau in a number that possibly means a sort of 3,000, 4,000, 5,000 towers per year as a plateau and the speed of going there depends very much on the speed of our success in increasing the tenancy rate. So, if we are very good in increasing the tenancy rate without RAN sharing, it means that 2 times out of 3 times, you have to make something on the tower. So, I hope I gave you the drivers of your thinking.
Juan Gaitan: And two final quick questions from Ottavio. Any update that we can provide on the CTIL contract renewal? And also, coming back to Austria, if maybe a JV with an existing tower could be an option to be considered, similar to what we did in…
Marco Patuano: Sorry, say again?
Juan Gaitan: If in Austria, if we can consider a JV, a joint venture with an existing tower as recent elements?
Marco Patuano: Okay. The first question is, the contract is on the table of a very kind gentleman who seems to have a little bit of a problem with a pencil. So, the contract, we’ve been working, the contract is basically designed and defined, agreed on all the terms. And so, we are just waiting for our counterparty, our client to sign. So, it’s very advanced. And on Austria, well, our plan A, you know very well. But you know very well that we would never make a sale for a non-accretive price. So, if by any chance, which doesn’t seem to be the case, but if by any chance we end with the price which is not going to be accretive, we will start scratching the heads. For the time being, we are not looking for a plan B.
Juan Gaitan: Perfect. We have one question from Fabio Pavan from Mediobanca. Any impact on the announcement between Vodafone and Swisscom in Italy? And also, would you be tempted to say that this impact is maybe low in numbers, at the same time more healthy industry, but support higher infra investments in the long term?
Marco Patuano: The impact on us is between Modest and Niels. So, the -- it’s two operators that make a lot of sense what they did. Unfortunately, what they did is not making the market much healthier. So, I think that the second part of your question is a bit optimistic that the market with this deal, with the Swisscom-Vodafone deal, could be considered repaired. I think that the market will continue to have four big guys in the same room and they have to try to accommodate all of them in the same room. It’s clear that the relative position of Vodafone, which was very good on mobile and not as performing, not as good in the fix, has improved. Same vice versa for Fastweb. Very good on the fix, not so performing on the mobile. So, the combo makes a very powerful player in Italy, but the guy in the room remains four.
Juan Gaitan: Good. We have one question from Emmet Kelly from Morgan Stanley. Vodafone is selling their operations in Spain and Italy. And the question is, does the fact that these two businesses will be under new non-Vodafone ownership present any opportunities to sell next?
Marco Patuano: Well, in Italy, I think that the limit for Cellnex in Italy is the antitrust. But the Italian market is in the infra, is a two-player market. Cellnex and Inuit combined, I think we have 95% of the market. So, the possibility of doing more. Yes, it’s very much possible that the Swiss and Voda can look for some densification using also our site and not only the Inuit site. It is possible, but I wouldn’t say that this will change the dynamic of the market. In Spain, I’m extremely curious because the disposal in Spain is very different. In Italy, they sold to an industrial player. In Spain, their partner is a very smart financial operator. So, it is possible then and I -- and here, yes, I go to the point that Fabio was making one second ago, it’s possible that the attitude of the new owner of the previous Vodafone asset could be not the same. I -- traditionally, Swisscom is fairly CapEx intense and the declaration that the buyer in Spain made was for rationalization, optimization and savings. So, it seems that the two approaches are not really the same.
Juan Gaitan: And also, when do you expect to see 5G as a material driver in our topline organic growth and on fiber-to-the-tower? Do you believe that it’s a bottleneck and are we seeing more deployment of fiber-to-the-site?
Marco Patuano: We said very clearly that fiber-to-the-site for us, it’s something interesting, but we don’t see a massive scale. So, it will be, of course, we are happy to make it if the conditions are okay, but we’re not going to bring the fiber making a 20-kilometre excavation. So, ultimately, we’re talking about a sort of 5,000 additional sites that we see as eligible to a fiber project directly delivered by Cellnex. Even if I’m wrong by 100%, it’s not five, it’s 10. So, what I want to tell you is it’s not going to be a massive deployment. Is this a bottleneck for 5G? Yes and no, because, you know, the new high-performance radio links for backhauling are quite good and progressively more and more efficient in terms of energy consumption. So, I think that the backhauling, yes, of course, it’s something extremely important for the 5G deployment, but I don’t think it’s a really, really bottleneck. I think that the health of the market is the real bottleneck. If you look at the market with the most advanced 5G penetration, most of them are three-player market. Switzerland, Netherlands, so the three-player market. If you go to markets where there are four players, it’s taking more time, and -- but it will arrive. I think that this bizarre…
Juan Gaitan: Yeah.
Marco Patuano: … comment. I don’t know how to apologies. Ladies and gentlemen, believe me, it’s incredibly embarrassing to us, but ultimately, possibly, we covered it. We hope…
Juan Gaitan: We hope it’s been productive. Thank you so much for your flexibility and for your patience. I want to believe that we’ve covered the majority of the questions that you have sent us. If that has not been the case, obviously, the IR team will be at your disposal to continue catching up and providing you with more details on the period.
Marco Patuano: Okay. Thank you very much.
Raimon Trias: Thank you very much, everyone.
Juan Gaitan: Thank you so much.